Operator: Good day, ladies and gentlemen and welcome to the Twitter's Second Quarter 2019 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. I would now like to turn the call over to your host, Krista Bessinger, Vice President, Investor Relations. Please go ahead.
Krista Bessinger: Hi, everyone, and thanks for joining our Q2 earnings conference call. We have Jack and Ned with us today, but before we get started, I wanted to cover a few housekeeping items. First, please note that as of Q2, we will no longer be providing a slide deck, as part of our quarterly disclosure package. All information that was previously provided in our slide deck is now available and the selected company metrics and financials PDF, which is posted on our IR site. Next, I just want to remind everyone of the format for our call. We published a shareholder letter on our Investor Relations website, and with the SEC about an hour ago, and hope everyone had a chance to read it. Because the letter has a lot of detail, we will keep our opening remarks brief and then dive right into your questions. We will also take questions asked on Twitter, so please tweet us at @TwitterIR using the #TWTR. Also, during this call we will make forward-looking statements. Those are things like our outlook for Q3 and the full year of 2019 and our operational plans and strategies. Our actual results could differ materially from those contemplated by our forward-looking statements, and you should not consider our reported results as an indication of future performance. We're making these forward-looking statements, based on the information available to us, as of today, and we disclaim any duty to update them later, unless required by law. Please take a look at our filings with the SEC, especially in the risk factors section, in our most recent 10-K and in our 10-Qs for a discussion of the factors that could cause our results to differ. Also, during this call, we will discuss certain non-GAAP financial measures. We have reconciled those to the most directly comparable GAAP financial measures in our shareholder letter. These non-GAAP measures are not intended to be a substitute for our GAAP results. And finally, this call in its entirety is being webcast from our Investor Relations website and an audio replay will be available on Twitter, and on our website in a few hours. And with that, I'd like to turn it over to Jack.
Jack Dorsey: Thanks, Krista. Good morning, everyone. Thanks for joining us today. Before we get into your questions, we want to make a few remarks. Q2 was a really strong quarter for us; we had revenue increase 18% year-over-year, and monthly daily active growth accelerating to 14%, really proud of our results and also the work and the effort that went into it. As you all know, health of the public conversation remains our top priority. Our focus in this quarter was ensuring that our rules and how we enforce them, are easy to understand. This quarter, we refreshed our rules with simple and clear language. We expanded our rules against hateful conduct, to include language that de-humanizes others, on the basis of religion. And we define content that is of public interest on Twitter and introduced a new notice that provides additional clarity when we leave up certain tweets that violate our rules. And an initiative that has been really important to us, and one we've made a lot of progress on is to proactively identify and address malicious behavior. This means that removing the burden from the victims of abuse and harassment on our service, and proactively identifying those tweets and making sure that our agents are well equipped to take actions on them. This resulted in an 18% drop in reports of spammy or suspicious behavior across all tweet detail pages, which are the pages that show the replies to any given tweet on our service. In the consumer app, we're moving a lot faster, and we're seeing some much larger gains. We're providing more relevant content in people's timelines, and based on what they are engaging with in near real-time. We're experimenting with new ways to customize the timeline making it much easier for people to follow what's happening within their specific interest. This time using list, they've created or to which they've subscribed, and we've been making a lot of progress on international as well. Breaking news alerts is one example, we're delivering push notifications as breaking events happen in real time, which is now available in more than 10 countries. And we're enabling people to select the preferred language in the on-boarding flow and on the settings page, allowing people to explicitly set which language they want to see content in, and this is currently live on Android in 13 countries, and rolling out on iOS soon. Another big initiative for us has been to make Twitter feel more conversational. We've been working to label replies in a clear way, testing ways to make it easier to follow and join conversation, which replies with replies for various participants in a conversation including the author, mentions and following. And our prototype app, the TWTTR which we call Little T has been moving quickly. We launched four iterations in this quarter, quickly learning and refining with each iteration. One example recently as people were finding it difficult to quickly like replies, so we added a swipe to like gesture for a fast way to like replies. This was well received, so we added support for swipe to like for all tweets in the prototype app. We continue to learn from this prototype, our iterations and believe we're getting closer to launching a new experience in the main Twitter app that will make conversations much easier to follow and participate in. And with that, I'll hand it over to, Ned.
Ned Segal: Thanks, Jack. Before we get into Q&A, I just wanted to highlight a couple of points. We feel good about our performance in Q2 with DAU growth of 14% and revenue up 18% or 20% on a constant currency basis, with particular strength in the United States. We're also very pleased with the pace of hiring up 20% year-over-year in Q2, which is an acceleration from 18% last quarter. We now expect full year head count growth of approximately 20% in 2019. The combination of our conviction in our strategy and execution, and our ability to recruit and retain key talent is allowing us to increase headcount growth. We continued to expect GAAP operating expenses for the full year to grow approximately 20% year-over-year with expenses ramping over the course of the year. You'll note that our guidance range for Q3, reflects lower revenue growth than we delivered in the first half of 2019. This is driven by a couple of factors, the first is the comparison we face as we lap our global business recovery in the second half of last year. As you may remember, we've got particularly difficult comps in the US and Japan, our two largest markets, 28% and 24% in the United States and 44% and 30% in Japan in Q3 and Q4. The second, is the recent decisions that we've made to deprecate certain legacy ad formats, in order to better serve our customers and drive greater focus in revenue product. Increasing the stability, performance and scale of our ad platform in general and our mobile application download product, in particular, will take place over multiple quarters with a gradual impact on revenue. We're confident that focusing on our most important products, delivering higher performing better formats for our customers and creating a path to more direct response ads over time, will deliver better outcomes for all of our stakeholders for years to come, but it does require focus and tough near term decisions. With that, we're ready to take your questions. Operator?
Operator: [Operator Instructions] Your first question comes from Doug Anmuth from JPMorgan. Your line is open.
Doug Anmuth: Thanks for taking the question. Jack, you're coming up on two years of the heavy health work efforts here on the platform. Can you just talk about, how you'd characterize your success so far in improving safety and security? And do you think that you've turned the corner on health work from weighing on user growth to now helping, actually drive user growth. Thanks.
Jack Dorsey: Yeah. Thanks, Doug. As we've talked about on this call before, we do believe that health is a long-term growth factor for us, and we have been doubling our efforts to make sure that we can address all the issues that we're seeing on the service. As I mentioned in my opening remarks, the big focus for us, over the past year has been to proactively identify content on Twitter that would violate our rules, so that we don't require a report. As you know, a lot of our infrastructure in the past was dependent upon reporting of content, by the individuals who are receiving the abuse, harassment and also folks who were bystanders. We have made significant progress on that, and saw an 18% drop in reports this past quarter, which is meaningful and something we want to continue to build around. A lot of this is a focus on building more technology to address the problems, and I have a lot of confidence that we have a lot of great work ahead of us that we'll continue to - that we'll continue to leverage to help that situation. I do believe that health is going to be an ongoing initiative for us. I do believe, it's going to be our number one priority for quite some time. There will always be changing dynamics that we need to address, but we are getting better and better at recognizing them faster, and more than anything else being able to act on them faster. I think this also speaks to a broader shift in the organization. We've spent a lot of time looking at agility within our developer organization. We are moving much, much faster on the health initiative, but that's also allowing us to move much faster within consumer, and within our revenue products as well. So, we are finding a good development engine, and we are better aligning all the teams to make sure that we focus, not only on the clear and present initiatives but we're able to move much faster with much more agility going forward in everything that we take out. So our focus, our execution and how we see results and learn from those results have been really, really excellent over the past two years, and I only expect that to continue and to quicken.
Doug Anmuth: Great. Thank you, Jack.
Jack Dorsey: Thank you.
Krista Bessinger: Thanks. Next question please?
Operator: Your next question comes from Colin Sebastian from Baird. Your line is open.
Colin Sebastian: Great, thanks. A couple from me as well. I guess, first off, if you could talk about the expansion of the sales team. What you're seeing in terms of improved - and some productivity and then more broadly on the head count increases, which areas of product development will gain the most from that? Thank you.
Jack Dorsey: Hey, Colin. As we've talked about over the last couple of quarters, we continue to invest to drive growth across the company's greatest priorities; health first, conversation is a way to continue to grow the audience, revenue product and sales and platform. And so, the headcount growth is really thinking about all of those areas. We continue to add people to the team that works with our advertising partners in different parts of the world thinking not just about where they can have near-term productivity impact, but where we see long-term potential as we continue to drive DAU growth, and density in some of the important markets outside of the United States. So, no changes to our thinking in how we grow the team across those priority areas.
Colin Sebastian: Thank you.
Krista Bessinger: Thanks. Next question please?
Operator: Your next question comes from Eric Sheridan from UBS. Your line is open.
Eric Sheridan: Thanks so much for taking the question. Jack, maybe two bigger picture questions for you. The 2020 election U.S seems like a pretty big opportunity, given the nexus that Twitter's become around political discourse. Maybe, talk through a little bit of the opportunities, but also some of the challenges and how you have to prepare the platform for such a big opportunity in 2020? And then, the NBC announcement around the Olympics, seem like a pretty big positive to us in terms of video content and tapping into Twitter from real time. How do you see that product announcement and that partnership as a potential harbinger for additional ways in which you can tap into the live and real-time conversation nature of Twitter with other partners over the long-term? Thanks so much.
Jack Dorsey: Yeah. Thanks for the question Eric. So, we do see a lot of opportunity, but also challenges with elections, and one thing to keep in mind is Twitter is a global services. We have seen elections all over the world in the past two years, and have learned a lot from them. Just in this past year, we saw elections in the European Union, Australia, India, and Indonesia. Our number one priority within elections and conversations on the elections or conversations around the elections is making sure we're protecting the integrity of the conversation around the election. This manifests in a few ways. First and foremost, it's identifying forms of manipulation used to amplify misleading information. It's increasing transparency around ad purchases and targeting and, of course we continue to challenge suspicious logins and account creation. It's also really important that in every country that we're in, we have significant local partnership with local authorities, journalists on the ground to make sure that we're seeing things much faster. This is all in the category of misinformation and misleading information and this is our number one focus as we consider the election. That said, the opportunities are certainly vast. We do see, obviously, a lot of conversation around news and politics around the Democratic debates, and we believe that Twitter has an important role to carry these conversations and to help people learn about what's unfolding within all of their countries. So, we want to make sure that we are present and we're organizing the conversation in a way that people can learn from immediately. In terms of the Olympics and live, as we've talked about on these calls for some time, we think video is an amazing trend but an amazing complement to conversation. And our work with video and with these live events is to make sure that we can enrich the conversation to make sure that more people can reach and participate within these events. More people can opine on what they're seeing and also see the roar of the crowd, but also a recap of everything that happened that they may have missed in the time. So, we're really excited about these events, from sports, to news, to entertainment and it has been something that we feel has made the conversation on Twitter and around the world much, much stronger and much more interesting.
Eric Sheridan: Great, thank you.
Jack Dorsey: Thank you.
Krista Bessinger: Next question please?
Operator: Your next question comes from John Blackledge from Cowen. Your line is open.
John Blackledge: Great, thanks. A couple of questions on the DAUs. So, in the second quarter, the growth was better than expected. If you can just discuss some of the key drivers of the growth. And then any color on key markets driving international market DAU strength in the quarter? And then Jack, you mentioned improved agility what's driven the product improvement cadence in agility recently versus the past couple of years? Thank you.
Ned Segal: Thanks John. I'll start and turn it over to Jack. So, on the DAU growth we were pleased with the breadth of our performance. As you may have noticed, the US DAU returned to double-digit growth at 10% to $29 million and international grew 15%. When you unpack the international though, we didn't break it out by geography, we did see broad-based DAU growth that we feel good about and that leads us to want to continue to focus on the opportunities that we see outside of the United States as well. When you step back from the DAU growth and you think about what's driving it. Jack went through some of the specific product things that we've done in his opening comments, but it's important to consider that when we talk about relevance quarter after quarter, it's an important reminder that relevance isn't something that you cross off the list and you move on to other things. It's something that you can continue to iterate on and improve around, and that the improvements that we make to the service one quarter, benefit people who come to the service many quarters later. And so, we look at this 14% year-over-year growth we delivered, and we see the cumulative benefit of the last few years of work that we've done to improve the service, to drive relevance, to make Twitter more conversational, to make it easier to find the topics and events that people care about most. Let me turn it to Jack to talk about the agility question.
Jack Dorsey: John, I guess there is three big things here. One, it's just focus. The second is around our technology and the third is around our people. So, in terms of focus, we've been -- we know what we are now and we know what sets us apart from our peers and our competitors. We know why people use a service, why they get value out of it and that's allowed us to really prioritize what matters most and shut down things that don't contribute to that purpose and contribute to that focus and that has been quite clarifying and has allowed us to really organize our teams in a much stronger way, so that we can move much faster. Number two is, we've just been applying a lot more machine learning and deep learning to nearly every aspect of the service, every problem. We've gotten a lot better at refactoring some of our older platform and infrastructure. We've gotten better at hiring and acquiring teams that are focused on bringing a much higher bar of machine learning and deep learning discipline to every problem domain that we face, and we approached every problem now with technology first, and that has been a pretty market shift within the company. We were fairly mechanical three years, four years ago in most of the things that we did. So, we're seeing that within the experience, we're seeing that within health and we're seeing that with our infrastructure as well from the consumer side, all the way to the revenue product side. And then the third is around people, we have the benefit of having some really amazing people, with a lot of heart, a lot of care, and a lot of strength and resilience who are focused on doing the right things. But, we continue to hire folks who inspire others to join the company as well. We just made a major hire within our design team Dantley Davis, who is leading our design efforts, which will give us a lot more clarity on the experiences that we're creating, how it feels, but also providing that amazing design level thinking to, everything that we do, not just the product, but around the company. So, these three things together, have allowed us to move much, much faster in a more focused way that will result in a greater impact and certainly a whole lot more agility, but we benefit across-the-board from it.
John Blackledge: Thank you.
Krista Bessinger: Thanks. And next question please?
Operator: Your next question comes from Mark Mahaney from RBC. Your line is open.
Mark Mahaney: Thanks. That DAU growth was really impressive, could you talk about the extent to which that's coming from people who would use Twitter in the past, had an unsatisfactory experience, but they've somehow come back, either through viral -- whatever they've heard that the site has improved or whether those are brand new users to Twitter. And I guess as part of that, could you just comment on your ability? Because the awareness of Twitter's super high, there are a lot of people who have used it in the past and have probably retired from the service. Your ability to -- as you make the product more conversational, more intuitive, to tap into those users, just talk about that as a source of new user growth? Thanks a lot.
Jack Dorsey: Hey Mark, thanks for that. So, when we look at how the composition of the people who are new to that DAU bucket, we definitely would think about them in two areas, is that people who have been on Twitter before, who are coming back more frequently than they may have in the past, and people who are new to the Twitter. As we've talked about for some time, when we look at the funnel -- the people who come Twitter, we've been remarkably consistent at the top of the funnel, in terms of having a lot of people come to the service every day, whether they come because of a link, because they went to the app on their phone, a notification or they searched for something somewhere else, and it brought them to Twitter. And the opportunity for us is to help them find what they're looking for, faster. To surface the things that are important to them; the topic and events around them that they care about most, and as we do a better and better job of that, we're able to take the folks who have been coming less frequently and help them come more frequently, and help the people who are new to the service find what they're looking for right away. So, we definitely think about both buckets as having been areas where we found some success recently, but also both where there's real opportunity in front of us as well.
Krista Bessinger: Great, thank you. And we'll take the next question from Twitter, it comes from the Twitter account of Jerry McNeil, and he or she asks the new timeline makes list easy to view and switch between, but creating and adding to list is still clunky and non-intuitive. Will there be changes to the list creation feature, better leverage the timeline customization soon?
Jack Dorsey: Thank you Jerry. This actually speaks a little bit to Mark's question as well. We have a number of primitives within the app like list that we have been looking pretty deeply at and considering. These are very powerful features that a number of people who have been on the service for quite some time are active today or coming back to the service, got a lot of value out of. And the interesting thing about list is it's exactly what we're trying to do with topics and interest. People spend a lot of time finding accounts and putting them in a list, following those lists. The simplest thing that we did recently was we made it -- we made those list accessible right from the timeline. So, if you do create your own lists of topics around say cryptocurrency, you did all of the work to find all the interesting accounts within the cryptocurrency space, and you've created that list -- in the past, it's been really hard to find that. Now, it's right at the top of the timeline, you can switch between the home timeline, you can go right to that list, you can also go to any list that you subscribe to. The next step of that, as you allude to is making list creation much easier, making it much more accessible to more people, and giving more control over that. We're doing all of this work in the spirit of interest in topics and events, and we think this will be extremely impactful and it's adding a new set of functionality around -- not just being able to follow accounts, but generally more topics, more interest. We think this is certainly interesting and relevant within the experience, but we also think there's a huge opportunity within on-boarding as well. A lot of you have probably had an experience where the easiest and best way to get someone on to Twitter is to show them who you're following and help them find those accounts as well. With list and with these recent moves that we've made, this makes them much, much easier to give people kind of a starter pack around any topic or interest that they might have, so that they can easily follow and get a timeline and a very rich experience almost instantaneously. So, this is something that we're really considering. I'm really excited about what we can do with lists and topics and events, and I think it will have a massive net positive impact on the service.
Krista Bessinger: Thanks, Jack. So, next question please, operator?
Operator: Your next question comes from Lloyd Walmsley from Deutsche Bank. Your line is open.
Lloyd Walmsley: Thanks. Two if I can, first just you talked about in the shareholder letter some ad unit changes. Can you give us a sense of what's getting deprecating and what some of the new ad units are and how early feedback is. And then the second one, which may be related, can you just give us an update on progress with the new map as and what operationally, do you need to do to get these in place? And any reason I think that they can't scale pretty quickly, given it's a performance product, once you get it right.
Jack Dorsey: Hey Lloyd, thanks for the question. So, on the deprecations, first, then we'll turn to MAP, you're right, they are related. We often are looking at the portfolio of things that people work on here and thinking about how we can drive focus. If we just step back from all the work that we've done, and some of the success that we've been able to drive, we really feel like focus has been behind a lot of that. When we're clear about our priorities, and when we focus on those, even at the expense of other things, we see real benefit from that. The product deprecations, we mentioned are in-service of that prioritization, in particular, on the revenue product team. When we have ad formats that are big enough that they can impact our ability to guide in one direction or another, but small enough that we don't think that they can have the same long-term benefit as focus on our greatest priorities can, will make the tough near term decision to communicate to the advertisers, who use them and to shut them down and hopefully move people over to other things. When you do that, there can be some disruption in the near term. An example of that is the Carousel product, that one we've announced already. These are, again, they're not big enough to make sense to break them out, but they do impact the guidance that we've provided a little bit relative to the -- what we delivered in the first and second quarters. There are a couple of others as well that we've considered or made decisions around, but we're still in the process of communicating. This is all in-service of those two big priorities that we've talked about for the revenue product team. The first one is the work we're doing on our ad server to make sure that it is positioned to allow us to move quickly to try new things, to attract great people to the company, who want to work on the latest technology and who are positioned to move quickly, once they get here. The second one is MAP, which is the Mobile Application Promotion ad format that has been a really successful format for us in the past, but one where we know we can deliver better -- where we believe that we can deliver better relevance, so they can help advertisers to clear their objectives better, we can help them move faster and deliver stronger ROI for them. We're still in the middle of that work, and as we move forward with it, there may be a point where you can see the benefit from it ramp quickly as you described, because it's a direct response related product, but we're still at the stage where we believe that you would see, its impact be gradual in nature. And so, we'll talk more about it when we get there and that gradual in nature starts, but we're not there yet, we're still working hard to make it happen.
Lloyd Walmsley: Great, thank you.
Krista Bessinger: Thanks, nextquestion please?
Operator: Your next question comes from Brian Nowak from Morgan Stanley. Your line is open.
Brian Nowak: Thanks for taking my question. I wanted to ask about -- you mentioned in the letter, you're experimenting with some new ways for people to better customize their home timeline, sort of follow interest a little better. Maybe, talk to us a little more tangible examples of kind of what you're changing and what are you seeing in the early tests from an engagement or retention perspective? Thanks.
Jack Dorsey: Yes. So, I'll speak to the first part of your question Brian. We started this work, some time ago about three years ago is when we first started ranking the timeline by relevance. So, we moved away from a pure reverse chronological model. Over the past year, we introduced some controls at the top of the timeline to enable people to quickly shift from reverse chronological to a ranks timeline and this was very well received by our customers. It led us to believe that we could do even more. The most recent is around, putting list right at the top of the timeline, so now people have an experience where if they've subscribed to list or created a list, they can quickly switch between the home timeline and also their list. We want to add a lot more controls to this, in particular, and we want to make sure that we are giving people control within these timelines, around relevance, as we've talked about for some time in the past, potentially even following topics, following interest, following locations, everything that really corresponds to getting people to much more relevant timeline per topic, per event or per a enduring interest much, much faster. We believe this will create an experience where people can easily follow communities that they're interested in and go very deep and really focus the conversation -- focus their timeline on that. So we -- the most important thing for us is this agility aspect, that we can quickly experiment and that we can quickly learn and we can co-create with the customers that we serve, so that we can see what's working, what's not working, what they love, what they don't and make some informed decisions based on that. So that machinery within the company and that practice has really, really improved over the past year. And as we've talked about, the timeline is where people spend the majority of their time. Our focus there, our focus on making the experience much more relevant, enabling people to additionally make it more topic and event focused, and interest focused is something that has been very, very well received and we're excited to continue, and we're especially excited about everything that this year will bring, along that dimension. Ned?
Ned Segal: Hey Brian. Just to go to the second part of your question around results. Remember, DAU is just going to be the best way to tell if we are delivering impact for people, because if we're giving them a good experience and we're doing all the things that Jack described, they're going to come back to Twitter every day, and they're going to come to find out about the topics and events, they care about most, and they're going to engage with the service and be a part of the conversation. So, that's why we - that's why we'll keep talking about DAU on these calls for your benefit. It's worth pointing out though, just as we think about the DAU growth, one of the things that we're particularly proud of this quarter is we feel like we can point to causal benefit from some of the product work that Jack described that's already in the service. When we look at the tests we run, when we look at the impact -- that the improvements that we've had -- have -- we can see a direct relationship between those improvements and the DAU growth that we delivered this quarter.
Brian Nowak: Great, thanks.
Krista Bessinger: Thanks. Next question please?
Operator: Your next question comes from Justin Post from Bank of America Merrill Lynch. Your line is open.
Justin Post: Great. Apologize, if you already commented on this, but just wondering if you're seeing lower churn or if you're really attracting more users to the top of the funnel. I don't think you disclosed MAUs, but what's really improving on those metrics that helped the growth this quarter? And then also, we'd love to hear about direct response; we talked to advertisers all the time, but doesn't feel like a lot of them really are engaging yet in Twitter, and just how can that really happen over the next couple of years, and is that a big priority for the company? Thank you.
Jack Dorsey: Thanks Justin. We did cover some of this earlier, but I'll go through it again. When we look at the top of funnel, we feel really good about the consistency and what we see in terms of people who are coming to the service every day, because they want to find out what's happening in the world, and what people are talking about. Where the opportunity is for us, is to help those people find what they're looking for faster, so that they have confidence that the next time they come to Twitter, they'll find what they're looking for as well. And so, that means that there still is success in these numbers that we're delivering, both from converting people who come less frequently and people who've never been to Twitter before into daily active usage for Twitter, and as we look ahead we still see opportunity in both regards as well. When we think about direct response, it's really going to start with the work that we're doing for the mobile application promotion product. I'd mentioned earlier that in the interest of focus, we continue to find ways to move people from other things and there may even be near-term impact when we do that, such as the product applications that we talked about earlier. But, as we get mobile application promotions to deliver better for advertisers that should give us a better path to more direct response advertising, over time. We want to help advertisers launch new products and services, we want to help them connect with what's happening, and as we move further down the funnel with our ad formats, we think there's a lot more opportunity for us to help them deliver.
Justin Post: Thank you.
Krista Bessinger: Thanks. Next question please?
Operator: Your next question comes from Mark May from Citi. Your line is open.
Mark May: Thank you. In terms of the live video product just wondering if you could share with us some of the early metrics there in terms of engagement or other metrics that might point to the kind of traction that you're seeing? And just kind of curious what the vision is here, longer term, are you looking to expand to a point where influencers and other large big brands can regularly hosts live sessions with kind of an infinite number of participants, just curious, a little bit of a deeper dive there. And then secondly, in terms of international revenue, do you see any drivers that could result in improved growth there in the international side of the business? Thanks.
Ned Segal: So, a couple of things Mark, the first part of your question around live video. So, what we think of live video -- it can be a couple of different things; it could be somebody using the service, using live video as a way to participate in or start a conversation. You'd mentioned a part of the live video feature that we've recently rolled out, which allows up to three more people to drop into a conversation, and be part of a live video, but live video can mean so many other things for Twitter as well. It can mean near real-time highlights, whether it's around the Olympics, or seeing every goal from the Women's World Cup or watching the Democratic debates last month on the service, so there's so much opportunity for us to continue to help improve the conversation on the service through live video. When we think about numbers, we don't tend to think about the benefit of a particular type of format in terms of how it drives people to the service. We instead think about how we can continue to improve the conversation through relevance, through formats, through just making it easier and easier for people to be a part of the conversation, as the best way that we can drive people to the service and grow daily active usage. You'd asked about -- and by the way, I should just mention one more thing around live video, Jack was talking about the Olympics earlier, one of the cool things about the Olympics, about the Twitter Hitter for Major League Baseball, about the ISO-CAM from the NBA's these are Twitter specific opportunities where content owners, where leagues are seeing how they can leverage Twitter differently than they can in other service because it's conversational, because it's real time to allow them to connect with the people who are passionate about their topic or event to drive engagement for them and obviously to bring people to Twitter as well. When we look at international, it's a lot of the same work that we're doing in the United States. A lot of the product work that Jack talked about, that we feel has driven real benefit outside of the United States as well and has allowed us to grow DAU 15% internationally in this past quarter. We still see lots of opportunity in countries outside of the United States. Remember, 80% of the people who use Twitter are outside of the US and so that will continue to be a big focus area for us, but it's not different things that we're doing in those countries. It's the same work that ought to benefit people, all over the world.
Mark May: Thanks, Ned.
Krista Bessinger: Thanks. Next question please?
Operator: Your next question comes from Heath Terry from Goldman Sachs. Your line is open.
Heath Terry: Great, thanks. Jack, you've been talking for a few months now about the idea of being able to follow events and topics and interest. Kind of curious, as you get further down the development path for that, how do you see it rolling out, will it be a feature that sort of debuted or does it just sort of gradually work its way into people's timelines, and to the extent that you're having the success that you are with Little T as an app that's available out there. Any sense of what might cause you to want to make that version of the app more widely available to users? And then just Ned, one I guess hopefully quick one. As we look at the 300 basis points of acceleration in the advertising line this quarter, is there anything in particular and particularly in the US business that you would call out as being behind that, whether it's improvements in the ad tech stack growth in your advertising base, and anything that in particular we should be focused on?
Jack Dorsey: Thank you Heath. So, we have over the past year been introducing more topic like an interest like things within the timeline. So, some of that manifests in terms of topics and interest that you might see around particular events. We're putting more of our events and discovery right at the top of the timeline. We're also noticing when people are sharing particular URLs and sharing opinions around them, but might not necessarily be within your followgram [ph]. So, we do believe that the timeline is a good source for us to experiment and see if people are finding value within - some of these follows with events and interest. The biggest shift recently has been putting list at the top of the timeline, this provides us a way for us to experiment much faster and do some bigger things, as well because we can utilize the list concepts as a way to contain a bunch of controls within it. And we have a very -- a really exciting roadmap within this, and this is one of my favorite product reviews over the week is seeing what the team is thinking about and experimenting with, and how we're thinking about rolling, growing this out. But, we should see these continue to roll-out. We want to continue to build in a lot of agility into our process, and that means that we're improving the app, so we can introduce features like this, much faster, to more people, and we can learn from very quickly. This hits on Little T as well, this is a prototype app with a very small beta audience. This is amazing testing ground that we can shift rapidly, and we have the full app to play with, and so just a section within the production app. So, it allows us to test, much broader and much deeper changes. We will always look to expand the number of people who can participate with this, but the ultimate goal is to learn much quicker, so that we can get the features that we're testing into production, faster. And a lot of what we're playing with, within conversation, we think we have a pretty good experience. We think it organizes conversations and replies in a much clear way, and we do believe that elements of it are ready for production. It's just a matter of doing that work and making sure we're taking the best parts and all of our learnings and improving it. But, the increased agility we've built into the production service in the app, and the pairing of that with Little T allows us to most importantly learn much faster, as we get feedback from the people that we're serving and also pairing that with some opinions, we have on where the service should go.
Ned Segal: Hey Heath, the second part of your question around the ad revenue and the performance this quarter. One of the highlights there, you probably noticed, was the 29% ad revenue growth in the United States. When we look at that, and the strong performance outside the United States as well, we feel like our messages of launching new products and services and connecting what's happening, continue to really resonate with advertisers. Bruce and the revenue product team are designing great ad formats and delivering and Matt and the customers' team are doing an awesome job connecting with our advertisers, and helping them get a strong ROI on the service, all over the world and we continue to see real benefit from those conversations. You see it manifest itself in improving click through rates, you see it manifest itself in ad engagements growing 20% against a growing audience. So we feel really good about that. It's worth pointing out, when you look at the revenue and you unpack it, you may notice that the data and other line, which includes our data and enterprise solutions business as well as MoPub, that declined more than it -- or grew less than one might have expected this quarter. We consider that 4% growth, more of an anomaly, when we look at new business won and the timing of that, last year, relative to the timing of it this year around the data and enterprise solutions business, that probably got more impacted on that number on a quarterly year-over-year basis, than it would, if you looked at things over the course of the full year. We've talked in the last few quarters about how we feel so good about how we've executed on our strategy in DES over the last few years, but as a result of that, that business is likely to grow at lower rates in the future than it has in the past. We really meant on a full year basis, and so I look at that 4% as more of an anomaly. Thanks for the question Heath.
Krista Bessinger: Thank you. And I think, operator, we have time for just one last question, please?
Operator: Okay. So our final question today will come from Ross Sandler from Barclays. Your line is open.
Ross Sandler: Hey, guys. Thanks for squeezing me in, one for Jack and maybe one quick one for Ned. Jack, so on the list topic here, how big is list as a percent of total Twitter consumption today? And as I have -- list user myself, I've never seen an ad in list. So, is that an opportunity, at some point, how do you think about the ads opportunity in list and potentially in TweetDeck? And then Ned, Japan decelerated a little bit, so was that -- I know that had a huge comp from a year ago, is any of the licensing decel that you just mentioned, flowing through Japan or is that ads? Can you just flesh out a little bit on what's going on in Japan. Thank you.
Jack Dorsey: So Ross, we're not breaking out the consumption percent on this, but for the people who really understand Twitter, and a lot of our customers who have done the work list are instrumental in their experience. They organize their experience around these sublists that complement their timeline very well. So, what we're trying to do here as we've seen with nearly every major feature and functionality and aspect of the service is, recognize when these customers who figure out the power of Twitter, and just making that more accessible to everyone. At the same time, increasing the amount of control over these primitive [ph] strike list. So, we think there's a number of things that we can do within the list construct that gets people a whole lot more control and answer some questions for us, around what it means to truly follow a topic or an interest, and to provide a very easy experience to switch between your home timeline as well. We want to think as - list as more broadly as timelines, as streams of tweets, but in the list case, it's more organized around these events and topics. And as we have in the past, we start with an experience and as we learn from it, we'll figure out if there is revenue products that better the experience as well.
Ned Segal: So Ross, just a couple of things to tie that off and move on to Japan. When we look across the surface areas on Twitter, when we look across geographies in times of the year, we continue to feel more demand constrained than supply constrained, and still see opportunity to help advertisers realize their objectives and drive better relevance and show great ads to people on the service. So, I'll just refer back to Jack's comments on lists on Japan. A couple of things to point out to you; one, if you step back and think about what we've accomplished over the last couple of years in Japan, revenue in Japan in Q2 of 2017 was a little more than $70 million, it's a little more than $113 million in Q2 of 2019, but 65% year-over-year growth in Q2 of 2018, when we had major breakthroughs with a concentrated agency market, when our ad formats begin to really resonate with advertisers in Japan, was followed by 9%, this quarter. 9% as you can imagine, is a little impacted by currency, it's impacted by the tough comps. And then, if you look at any given country, the growth rates in any given quarter are impacted by the ad formats that people are embracing, the campaigns that people are running, the topics and events that are bringing people to Twitter. And so, that stuff impacted Japan more than we might have liked in the second quarter. When we look ahead and we think about the work that we're doing on MAP, and when we think about the Olympics being hosted in Japan next year, and we think about all the hard work that we've done there, to get closer to the agencies and to the most important advertisers, we feel really good about the potential in Japan over time and so we'll work hard, both from the data licensing other line that you mentioned, but, even more importantly from the broader ads opportunity.
Jack Dorsey: All right. I think, with that, we're going to wrap up. Thanks for joining us everyone. We are pleased with our performance this quarter. We appreciate your interest in Twitter, and we look forward to speaking with you next quarter when we report earnings on October 24, before the market opened. We better wrap, because it sounds like they're taking out the garbage outside our building here in San Francisco, if you heard any of the noise behind us. We will see you all on Twitter.
Operator: Thanks everyone. This will conclude today’s conference call. You may now disconnect.